Operator: Greetings, and welcome to the First Quarter 2022 Earnings Call for Helix Energy Solutions. . As a reminder, this conference is being recorded Tuesday, April 26, 2022. I would now like to turn the conference over to Brent Arriaga, Chief Accounting Officer. Please go ahead.
Brent Arriaga: Good morning, everyone, and thanks for joining us today on our conference call for our first quarter 2022 earnings release. Participating on this call for Helix today are Owen Kratz, our CEO; Scotty Sparks, our COO; Erik Staffeldt, our CFO; Ken Neikirk, our General Counsel; and myself. Hopefully, you have had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through our For The Investor page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab and the slide presentation can be accessed by clicking on today's webcast icon.  Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Kenneth Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation, other than statements of historical fact, are forward-looking statements and are made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.  Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of factors, including those set forth in Slide 2 and our most recently filed annual report on Form 10-K and in our other filings with the SEC.  Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slide of our presentation provides reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations, along with this presentation, the earnings press release, our annual report and a replay of this broadcast are available under the For The Investors section of our website at www.helixesg.com. Owen?
Owen Kratz: Good morning. We hope everyone out there and their families are doing well, staying healthy and safe. This morning, we'll be reviewing our Q1 results and performance, our current operations, our view of the underlying market environment and how we think it will influence '22 and beyond and update expectations for 2022.  Moving to the presentation, Slides 5 through 7 provide a high-level summary -- excuse me, let me just clear my throat. Sorry. As expected, the year started slowly for us. Our performance for the quarter was slightly better than expected, impacted by winter season in the North Sea, regulatory maintenance on our vessels and the low revenue transition period on the Siem Helix 1 for the quarter. The Q7000 continued successful operations in West Africa. The Q4000 had strong operational performance with minimal downtime in the Gulf of Mexico. We completed regulatory maintenance on the Q5000, Siem Helix 2 and the Well Enhancer. Robotics delivered solid results for the first quarter, limiting the impact of the winter season. Production facilities continues to be a steady performer and benefited from the production of our Droshky field.  On the sales front, we secured a 2-year term contract with Trident in Brazil and signed a 3-year contract in the Gulf of Mexico with Shell for an anticipated 75 days per year with the option to add additional days for Shell.  Revenues for the quarter were $150 million with a net loss of $42 million and EBITDA of $2.5 million. Our gross profit was negative $19 million, which is a negative 12%.  Onto Slide 8. From a balance sheet perspective, our cash balance at the end of the quarter was $230 million with an additional $73 million in temporarily restricted cash, primarily associated with the short-term LC for our work in West Africa.  During the quarter, our operating cash flow was negative $17 million, including $10 million of dry dock and recertification costs. We spent $1 million on CapEx, resulting in a negative free cash flow of $18 million. At quarter end, we were in a negative net debt position of $1 million.  I'll now turn the call over to Scotty for an in-depth discussion of our operating results.
Scott Sparks: Thanks, Owen, and good morning, everyone. Moving on to Slide 10. Both onshore and offshore, our teams are doing a fantastic job of keeping our operations functional and safe. As previously mentioned, we took the opportunity of the slow winter months to undertake several regulatory maintenance and inspection programs that impacted utilization in the Well Intervention fleet for this quarter. By undertaking maintenance periods in the first half of the year, it should allow us to maximize our presence in the improving market and better rate environment in the second half of the year.  In the first quarter of 2022, we continue to operate 12 vessels globally with minimal operational disruption, continuing to operate at high standards with 96.3% uptime efficiency for the quarter. During the first quarter, we produced revenues of $150 million, resulting in a gross profit margin of negative 12%, generating an operating loss of $19 million, producing EBITDA for the quarter of $2.5 million.  In the first quarter, the Well Intervention fleet achieved utilization of 67% globally with 86% utilization in the Gulf of Mexico, 87% in Brazil, 100% utilization in West Africa and as expected through the winter period, we had low seasonal utilization in the North Sea.  The Robotics chartered vessel fleet achieved high utilization of 90% in the quarter, operating five vessels, working a total of 323 vessel days between ROV support, trenching and renewable works globally.  Slide 11 provides a more detailed review of our Well Intervention business in the Gulf of Mexico. The Q5000 had utilization of 72% in the first quarter, performed an abandonment work on three wells for two customers. The vessel then completed a planned regulatory maintenance period prior to mobilizing the jointly owned Helix-Schlumberger 15K intervention system, conducting production enhancement operations in ultra-deepwater for a third customer.  The Q4000, again, had strong utilization increasing to 99% in the first quarter compared to 90% in Q4. The vessel continued a multi-well campaign, undertaken production enhancement on numerous wells and abandonment work for one well for one client in ultra-deepwater.  Pleasingly, both vessels have high utilization contracted work for the first half of 2022. We've contracted an awarded work into the third quarter and good visibility of potential further activity, which steadily increase in rates.  During the quarter, we signed a multiyear contract with Shell, a long-term important client of ours in the Gulf of Mexico, including optional days utilized in either the Q4000 or the Q5000. The first work under this agreement is expected to commence in the third quarter of this year.  As stated in previous calls, the key vessels have integrated Helix-Schlumberger alliance teams and equipment permanently installed, working under one contract offering our clients numerous benefits. This has now become the contract and mechanism for most of our clients in the Gulf of Mexico. We are also offering this option globally and seeing an increased adoption of this method of contracting.  Moving to Slide 12. Our North Sea Well Intervention business had expected low utilization in the first quarter, warm-stacking both vessels as we seasonally do each winter for most of the quarter.  The Well Enhancer achieved 16% utilization in Q1. The vessel was warm-stacked in Leith, Scotland, significantly reducing the vessel operating costs and crew levels and then undertook regulatory dry dock maintenance in Holland as planned. The vessel then performed a one-well production enhancement scope for one customer.  The Seawell remained on to the Robotics division with minimal remaining crew to undertake site clearance and boulder removal on a renewables project that lasted into February. The vessel then performed a small one well production enhancement scope, trying to be warm-stacking these with significantly reduced crew levels and vessel operating costs. The vessel then commenced regulatory dry dock maintenance and inspection in mid-March in Holland as planned.  The North Sea market is finally improving. The season is scheduled to commence in May, slightly later than in previous good seasons, after which we do see a two-vessel market and are expecting rates to hold with good utilization. We've contracted and awarded work into Q4 for both vessels. And pleasingly, we also have clients taken interest for 2023.  In West Africa, the Q7000 had another strong performing quarter in Q1 with 100% uptime working with our multinational and integrated Helix-Schlumberger alliance team. The vessel performed work on numerous wells in the quarter, conducting production enhancements and P&A activity for two customers. The vessel has completed work in Nigeria in April and then completed transit to Namibia and has commenced its planned regulatory maintenance and inspection program expected to last into May. Thereafter, the vessel schedule is still open. Further works have been identified in West Africa in Q2 and Q3. And provided these wells are contracted, the vessel would stay in West Africa to perform this work. However, should the work not materialize, we expect that we would commence the pay transit to the APAC region in preparation for our contracted work in New Zealand.  Moving to Slide 13. In Brazil, the Siem Helix 2 had 74% utilization, completing its planned regulatory maintenance period and then performed production enhancement work on two wells during the quarter. The vessel is contracted to Petrobras until December, and we have commenced discussions regarding potential further extensions.  The Siem Helix 1 was 100% utilized on a short-term FPSO and accommodation support project in Ghana that is expected to last into May. The vessel then is expected to return to Brazil to commence awarded ROV survey work prior to commencing the long-term decommissioning projects in Q4 on the recently awarded China contract. The contract runs for an initial 2-year period with improved rates year-over-year with additional yearly options to extend the contract. In Q1, due to the increased market activity, we extended the Siem Helix charters with expected lower costs. The Siem Helix 1 has been extended to a new 3-year term and the Siem Helix 2 has been extended to a new 5-year term.  Moving on to Slide 14 for our Robotics review. Robotics had a good quarter considering the seasonal winter conditions and got off to a good start for the year. We continue to see an improving market, operating five vessels during the quarter, including the Seawell, primarily working between trenching, ROV support, decommissioning and non-oil and gas and renewables-related projects.  In the APAC region, Grand Canyon II had 100% utilization in Q1. The vessel completed work in Thailand, undertaking a wellhead decommissioning project and is now in transit to Taiwan to undertake contracted renewables work expected to last into late Q3.  In the North Sea, the Grand Canyon III was utilized 73%, undertaking oil and gas and renewables trenching operations for three clients. The vessel has contracted oil and gas and renewable trenching scopes, which are anticipated to keep the vessels busy for most of 2022.  The project chartered vessel of the  had 100% utilization continuing site clearance and survey works that is now expected to last into Q3. The Seawell was also project chartered to Robotics, conducting 39 days clearance and survey works.  We have now also term chartered a second trenching vessel for the North Sea. The Horizon Enabler is planned to be mobilized with the T1200 trenching system and has contracted works trenching on oil and gas and renewables projects commencing in May through to Q4.  In the U.S., we have recently chartered the Shelia Bordelon, a Jones Act-compliant vessel for 1 year, trenching works in the Gulf of Mexico and for renewable works on the U.S. East Coast. Robotics took delivery of the vessel mid-February and achieved 74% utilization, undertaking a salvage project for one customer and ROV support works for two customers. In mid to late Q2, the vessel is scheduled to transit to a U.S. East Coast wind farm site to undertake renewables works contracted to lasting until Q3.  The Robotics group's work into the green and renewable sector continues, now securing work not only in the European region, but also in Asia and on the U.S. East Coast. All five vessels of the current Robotics fleets are contracted to undertake renewables projects in 2022 and we continue to see tender activity increase for the renewable services we provide globally.  Over to Slide 15. I'll leave this slide detail on the vessels, ROV and trenching utilization for your reference. I would again like to thank our Helix global team and partners, considering you're doing a fantastic job. Our market is recovering, and we fully plan to see a much-improved second half of the year. Globally, there is more interest in our assets, visibility of work and tender activities increasing, contracts are getting signed and our schedules are tightening.  We are pleased to have recently been awarded 2 long-term contracts. The North Sea is now in recovery finally. Rates and utilization are improving in the Gulf of Mexico. In Brazil, we are diversifying our customer base beyond Petrobras and more clients are available to us now than previously. We've had a strong period in West Africa and built a good reputation due to the continued level of high performance and see further tender activity in the region.  We still must deal with a complex schedule for the Q7000 as we move closer to the vessel heading to the APAC region for its contracted work. Robotics has good contracts in place for most of the year, expanding services in its global footprint, and we've recently added two vessels to the fleet. For the second half of the year, it's starting to look much better for us.  I'll now turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide 17. It outlines our debt instruments and their maturity profile as of March 31. Our total funded debt was $310 million at the end of the first quarter. Maturities during the remainder of the year primarily include the remaining $35 million due on our 2022 convertible notes, which matured the 1st of May.  Moving on to Slide 18. This slide provides an update on key balance sheet metrics, including long-term debt and net debt levels at quarter end, with cash and restricted cash of $303 million. As of quarter end, we were in a negative net debt position of $1 million. Our cash position at the end of Q1 was $230 million, with an additional $73 million of restricted cash that primarily supports a temporary project LC. At quarter end, we had no amounts of debt -- we had no amounts outstanding, and $41 million of availability under our ABL with resulting liquidity of approximately $271 million.  I will now turn the call over to Erik for a discussion on our 2022 outlook.
Erik Staffeldt: Thanks, Brent. As we previewed last earnings call and as our results bear, our first quarter was very challenging. We believe this quarter signifies the bottom of the market for Helix. The North Sea seasonal slowdown, the slow recovery of the North Seawell in the global market, the deployment of the Siem Helix 1 in accommodation work and four Well Intervention vessels incurring maintenance during the quarter, all combined to negatively impact our results. Positive developments during the quarter include the long-term contract in Brazil and multiyear contract in the Gulf of Mexico, both indications of an improving market. That being said, we still face significant variability in the near term. Therefore, it feels premature to provide quantitative earnings guidance for '22 at this point. Many of the areas should resolve in the near term, and we hope to be in a position by July to provide quantitative guidance.  We can say this much on how we see the year unfolding for the balance of 2022. As mentioned, we expect Q1 will be our weakest quarter and what we believe will represent the bottom of the market for Helix. Beyond Q1, we expect to see recovery and anticipate all seven Well Intervention vessels working in 2022. The market is improving, but contract awards continue to take longer to secure.  In the Gulf of Mexico, Well Intervention, both Q vessels are working the spot market. Both vessels have contracted work into the second half of 2022 with additional opportunities that seem to be coming together. We expect both vessels to have strong utilization in '22 with the added backdrop of increasing rates and building backlog in 2023.  In the North Sea Well Intervention business, we expect to have the Well Enhancer and Seawell working a good part of the good weather season once work commences as scheduled in mid-Q2 with some potential gaps. The North Sea market has been slow to recover but we are fully starting to see signs of increased activity for 2022 and beyond.  In Brazil, the Siem Helix 2 is on contract into December. The Siem Helix 1 is on the lower rate accommodations contract into midyear. We've been awarded an ROV survey work in Brazil prior to the planned commencement of decommissioning work for Trident at the end of 2022.  In West Africa, the Q7000 completed its contracted work in April and subsequently transited to Namibia for maintenance. The Q7000 provides the largest variability in our potential 2022 results with its uncertain schedule of additional work in West Africa prior to its planned transit to the APAC region to commence the Tui field abandonment.  In Robotics, we expect improvement year-over-year driven by mostly renewable activities, driving increased trenching opportunities and site clearance work.  benefit from increased vessel activity in the Gulf of Mexico and renewables activity in the U.S. developing in 2022. The recent addition of the chartered vessels in the Gulf of Mexico and the seasonal charter for a second trenching vessel in the North Sea are evidence of the improving market.  Production facilities should be fairly consistent with production variability as the Droshky field continues to deplete. We continue to look for opportunities to replicate that model of taking on operators decommissioning liability in exchange for late life field production.  Once again, with many uncertainties that we're currently seeing, we feel it's premature to provide quantitative guidance for '22 at this point. We hope to be in a position in the near future to provide quantitative guidance.  Providing more color by segment and region on Slide 21. First, with our Well Intervention segment. In the Gulf of Mexico, this is likely our strongest market with the improving rates and expect a strong utilization on the Q4000 and Q5000. Contracted work extends to Q2 and Q3. The Q5000 completed its regulatory maintenance period in Q1. And the Q4000 is expected to complete its regulatory maintenance period in Q2. We expect strong utilization in this region and expect to fill scheduled gaps.  In the U.K. North Sea, the Well Enhancer completed its regulatory maintenance period in Q1. The vessel is currently idle, but it is expected to have good utilization starting in May.  The Seawell is expected to complete its regulatory maintenance period in Q2 and has contracted work in Q2 and Q3 with potential gaps in the schedule.  In West Africa, the Q7000 completed its contracted work in April and subsequently transfer to Namibia for maintenance approximately 40 days. Q7000 schedule is very uncertain with potential opportunities in West Africa prior to its transit to the APAC region for the Tui field abandonment.  In Brazil, the Siem Helix 2 is contracted into mid-December with Petrobras. The Siem Helix 1 is performing accommodations work in Ghana. The vessel is scheduled to perform ROV survey work in Brazil prior to its contract  with Trident in Q4. The work for Trident is now a 24-month contract with options to extend.  Moving to Robotics, Slide 22. The Grand Canyon II in APAC is on contract into Q3 and is expected to have good utilization for the balance of 2022 in that region. The Grand Canyon III is contracted to perform trenching in the North Sea for multiple customers with expected strong utilization.  The North Sea would continue to incrementally benefit from the renewables site clearance work expected to continue into Q3. We have secured a seasonal charter for parts of '22 and '23, the Horizon Enabler, to contract entrenching work in the North Sea in Q2 and Q3.  We are working the Shelia Bordelon in the Gulf of Mexico before planned transit to the East Coast for contracted wind farm work with expected good utilization.  Moving to production facilities. The HP1 is on contract for the balance of '22 with no expected change. We have expected variability with production as the Droshky field continues to deplete and we continue to pursue similar opportunities which could impact our results.  Continuing on Slide 23, our CapEx  was heavily impacted by the amount from '21 pushed into 2022, approximately $20 million. With a heavy regulatory year, our CapEx range for 2022 is $45 million to $55 million. The majority of our CapEx forecast continues to be maintenance and project-related, which primarily falls into our operating cash flows.  Reviewing our balance sheet. Our funded debt of $310 million is expected to decrease by $39 million over the remainder of 2022 as a result of scheduled principal payments, which includes the maturity of our remaining 2022 convertible notes of $35 million, which we intend to set on cash.  I'll skip the remaining slides, starting with Slide 24 and leave them for your reference.  At this time, I'll turn the call back to Owen for a discussion on our outlook beyond '22 and for closing comments.
Owen Kratz: Thanks, Erik. As indicated in our last earnings call, 2022 is planned to be a transition year for Helix. With positive signs for a robust recovery ahead, there's a lot that we can do to prepare to maximize the operating leverage that our market position can make possible.  Q1 was weak but stronger than we expected. And we do expect that it will be our weakest quarter going forward with the second half of '22 expected to have a run rate greater than the full year run rate of 2021.  We took advantage of the weather-related off-season to go ahead and do a significant amount of required maintenance work on our floating assets as well as intervention systems in anticipation of strong utilization ahead. This includes an expensive 45-day downtime period for the Q7000 commenced in early Q2. The reason for this maintenance period is that the Q7000 has operated basically nonstop offshore on BP since the beginning of 2021 with the system deployed in the water for approximately 225 consecutive days. This is an outstanding uptime achievement, especially as it occurred during COVID lockdown and in Nigeria where logistics and technical maintenance support were extremely difficult. And the regulators finally gave us a date by which we had to do the work, which explains why there's two maintenance periods this year.  We believe certain transitory headwinds will make 2022 a challenging transition period including, first, the Q5000 completed its long-term partial utilization contract with BP in the second quarter of 2021, then shifted to a 3-year term call-off arrangement for the vessel. The Q5000 is achieving utilization consistent with historic levels even as BP is expected to have little contribution to add until 2023.  Rates for 2022 are lower than might be expected as we offered lower rates prior to the end of last year, the hedge utilization, and that was before we saw the pickup in the market. We intend to honor these rates for 2022, but expect a meaningful increase in rates for 2023.  Second, the two Siem vessels in Brazil completed their long-term contracts with Petrobras. Petrobras released the SH1, but retained the SH2, but at a rate that will result in a marginally negative contribution to EBITDA for 2022. The market improvements did not materialize in time for us to secure an intervention contract for the SH1 for 2022. So we placed it on a walk-to-work contract in West Africa at a significant negative contribution to EBITDA for 2022.  Combined, we expect these two vessels to negatively impact year-over-year EBITDA by more than $50 million in 2022. We expect the full amount of this EBITDA swing to fully reverse for 2023. We've already announced a 2-year plus contract beginning in Q4 for the SH1 and Intervention, and we're pursuing multiple opportunities for the SH2, including a contract with Petrobras potentially returning to meaningful profitability.  Given the expected strong demand ahead for these vessels, we negotiated an extension of the charters for both vessels and believe they'll make a strong contribution again starting at the end of the year with expected lower costs.  Third, we're also planning to shift the Q7000 to the APAC region later this year on the basis of two contracted awards and the visibility of a strong P&A decommissioning market in the region for the foreseeable future.  While we've done a lot of work in Nigeria, it may take some time for a backlog to build for a renewed campaign. We do see Nigeria as a strong future market and Helix has established our credibility well there. In addition, demand and interest in Angola is growing, building on the success that we demonstrated in Nigeria.  As West Africa visibility grows, it's a strong alternative to Petrobras in Brazil should Petrobras continue to attempt to press the market advantage that they've enjoyed for the past couple of years. We may actually be short of assets for 2023 to cover all the potential demand, especially as the rig market is expected to further tighten.  All of these transitional events create uncertainty for forecasting a precise range of results for 2022 other than to say it will be a down year-over-year from 2021. However, other than these transitional issues, most of the business units in the company are expected to be up year-over-year, somewhat offsetting the transition -- transitory headwinds. All indicators point to a strong recovery in 2023.  All the things mentioned here can be considered as a result of transitioning from a soft market to a much improved market but Helix will be working on a transition in our market position. The Helix business model does not focus on what might be considered the upstream portion of the oil and gas market. While our assets and capabilities can be used in development, our greatest value add comes from towards the later life cycle of oil and gas and the early phases of offshore wind development.  Going forward, we'll be emphasizing this and focusing our future returns from these elements of energy transition. Our focus will be on a three-leg business model. First, maximizing remaining reserves, which means enhancing and extending the life of existing reserves. And that's what our assets and methodologies were specifically designed for as an alternative to less efficient rigs, which are designed primarily to drill and complete new reservoirs. In addition, Helix offers a unique alternative to producers in which Helix is both willing and capable to take over or contract, operate and manage end-of-life reservoirs in preparation for abandonment.  Second leg of the business model is abandonment. While work and maximized recovery of remaining reserves is increasing, we see the long anticipated abandonment work growing even faster. No matter what happens with commodity prices, backlog of abandonment will continue to grow for the foreseeable future. This is especially true for the U.K. North Sea, Brazil, Australia and the Gulf of Mexico in the near future.  While well P&A is now approaching over 50% of our intervention work, it's our intention to expand our capabilities around full field abandonment. We intend to add shallow water full field abandonment capabilities over the course of 2022 in anticipation of a very strong market for 2023.  The third leg I mentioned is offshore wind. As many of you know, it's very difficult for contractors to actually achieve a satisfactory return from wind farm work. Valuations are high as a result of current sentiment, but actual returns are elusive.  For years now, the primary focus for Helix Robotics has been its jet trenching with much of our work derived from bearing the cables for wind farms. Our focus is on jet trenching rather than plowing as jet trenching requires a higher level of technical expertise. Helix is an established global leader in this niche and as a result, is able to generate satisfactory margins.  Helix seeks the -- to provide specialty support -- select specialty support services where margins can still be achieved. To this end, in 2019, we expanded our offering to the wind farm market to include boulder and UXO clearance. We've now established Helix credibility in that market and are achieving successful awards, both in the U.K. and now in the U.S., where we have a distinct competitive advantage.  We'll continue to seek out and add additional specialty niche support services as the opportunities present themselves. This will be a long-term prudent growth approach to building on the value add that we can bring to the renewables market.  We have a number of moving parts to accomplish over the course of this year in preparation for what we hope is a strong performance in 2023. These three legs establish Helix as a meaningful energy transition company with significant potential. There's a lot to do in 2022, but a very bright future.  And with that, I'll turn it over for Q&A, Erik.
Erik Staffeldt: Operator, at this time, we'll take any questions.
Operator: . Our first question comes from the line of Ian MacPherson with Piper Sandler.
Ian MacPherson: I think the withholding of guidance is weighing on the stock this morning. I know you've spoken through the reasons for having some reticence. But when we just go through the vessel-by-vessel outlook, it seems like the backlog is pretty much in place for this year, at least into Q4. So I just wanted to press a little bit on what particular elements remain to be clarified that gave you the decision to wait until next quarter to initiate the guidance for this year because it just seems like everything is reasonably visible now scheduling-wise for this year.
Erik Staffeldt: So Ian, I think -- this is Erik. I think you're right as far as some of the assets that we have deployed out there. There are a couple of things that are sort of weighing on us as far as delay in providing guidance. I think the single biggest one is the Q7000. As we stated, that completed work.  I think we have a lot of options that we are weighing and a lot of opportunities that we're still pursuing. We know that we have a contract to start towards the end of this year, beginning of next year in APAC. But other than that, it's very fluid. And any single -- every single month has significant variability to our overall results.  So the Q7000 is a big one. I would tell you that the U.K. North Sea market is starting to see signs of life, and we do have contracted work which is a positive. There's still a bit of variability there in that there's identified work. It's not fully contracted yet. So there's always the chance in this environment, where contracting has taken longer than anticipated that we could have still gaps develop in our schedule in the U.K. North Sea.  I think we also have a little bit of that risk to a less extent in the Gulf of Mexico, but the contracting risk that has weighed on us throughout the last couple of years is potentially still out there. But you could say a lot of positives as far as the discussions with our customers in activity. We just need to get those contracts across the line to really solidify our schedule.
Owen Kratz: Yes, I'll just add a little bit to that, just some specificity of right now, we're in this 45-day maintenance period with the Q7000. We're supposed to go back to Nigeria because the timing of this maintenance was regulatory-driven.  How much work there is to -- remaining to be done in Nigeria is an uncertainty. Then there's interest in Angola, whether or not that materialize, but we also have the contract down in New Zealand. So the biggest uncertainty for us is just the timing of the work -- first, the work and the timing of the work for the Q7000 for the remainder of the year.  But if I could it's not hard to add a little bit of color just based on what we have mentioned to you. If I were to just start with the Street's expectation of $65 million EBITDA, and we've already mentioned that the impact of the two Siem vessels was $50 million, then that would imply, without the impact of the Siem vessels, we're at $115 million. And that's after incurring additional maintenance costs, which are historically unusual for us. We're accelerating them in the regulatory period here. So that gives you a bit of color as to what this year.  And that's why we said that the -- looking at the second half of the year, the run rate was actually -- is actually going to be higher than last year. So that gives you some means of quantifying it until we can sort out the timing of the uncertainties and provide more specific color in the next earnings call.
Ian MacPherson: Got it. So that comment, the higher run rate for the second half of this year was comparing second half of '22 on an adjusted basis to full year '21? Or were you comparing on a nonadjusted basis, H2 will be at a higher run rate than H2 '21?
Owen Kratz: I think very simply, if you just doubled the second half of this year's expectations, it would have -- it would be full year expectations with last year.
Ian MacPherson: Got it. Okay. And then just talking about the general temperature for pricing in Well Intervention. We have seen to sort of maybe oversimplify a little bit, trough day rates for deepwater rigs. It's below $200,000 a day now back up to $300,000 and $300,000-plus a day. Is -- are you witnessing a similar amplitude of cyclicality and improvement for your fleet's vessel improvements as we move off of the floor and into what you're bidding and securing for work next year?
Scott Sparks: Ian, it's Scotty here. We are seeing an increased rates environment. Last year, we were in the high 100s. And this year, we're heading up into the 200s for the first quarter and higher than the mid-200s for the latter part of the year. We have got some contracts that are -- that we're holding to that we signed up at the end of last year that are holding us back a little bit, but we're definitely seeing increased rates in all regions. I will say that the rate market in the North Sea is a little bit different. Our vessels are different than rigs in the North Sea, the Diagon assets and  intervention assets. Our rates are holding in the North Sea to sort of just below pre-COVID levels. So we're seeing an increased rate environment across all regions and in the Robotics side of the business as well.
Ian MacPherson: Okay. So I mean it just strikes me that based on your H2 run rate EBITDA, you've got a lot more pricing improvement across the fleet that will then layer on top of that as we go from second half of this year into next year that...
Scott Sparks: That's a fair statement. Yes.
Ian MacPherson: Yes. Okay.
Scott Sparks: Like Erik and Owen said, we still have some gaps to fill in Q4, but there's visibility sort of works for that as well.
Ian MacPherson: Got it.
Operator: Our next question comes from the line of James Schumm with Cowen.
James Schumm: I was wondering if you could help me think about the Siem Helix 1 over the next couple of quarters. Should we expect a loss in Q2, either on -- if you want to speak to gross profit or EBITDA, should we expect the loss on the accommodations work in Q2 followed by another small loss in Q3 as you undergo maintenance? Is that a reasonable way to think about it?
Erik Staffeldt: So Jim, this is Erik. I think the right way to think about it is that, that vessel will be generating losses until we start Well Intervention, again, which right now is targeting the fourth quarter. At that time, we should flip into generating positive cash.  Right now, I think that our cost structure is pretty much set. So really any variability would be any additional revenue that we can generate. And so the combination is obviously, as we said, a very low revenue opportunities. We're still going to be incurring costs as we do the maintenance or you could say, the mobilization for the Trident work in Q4. So I don't see right now any material differences between the expected loss in Q2 and Q3 on that vessel.
James Schumm: Okay. And should we assume that the work for Trident begins like mid-November? Is that what you guys are thinking? Or what's the time line there?
Erik Staffeldt: So -- sorry. Go ahead.
Scott Sparks: Scotty here. The target date is on a mobilized window that narrows down, but the target date is the start of the quarter. But we have to be mindful of some long-lead items that manufacturing have to produce, but target is early in the quarter. And then it's a 2-year contract. The rates are positive and positive EBITDA generation in the first year. They improve in the second year. And there's options for multiyear work after that. In fact, Trident have up to 7 to 9 years of P&A activity in Brazil. So we're quite confident we're in a good place with that vessel after Q4.
James Schumm: Okay. Great. And then just wondering if there's anything you can say about -- I know there's the variability, which you talked about, but any expectations for free cash this year or any parameters you can set or any color there?
Erik Staffeldt: So Jim, obviously, we've disclosed what our CapEx expectations are for the year in the $45 million to $55 million range. I think based on our scheduled debt profile, we know what our interest payments are going to be. So that's really what we have to cover with our EBITDA, which shows that this year can be a challenge. And then, of course, the working capital fluctuations that could be created by a mobilization to the APAC region are obviously a big variable there. And so that's why, to a certain extent, not providing guidance in that area. But there are some big-ticket items that you could pencil in to try to work the potential ranges for free cash flow.
Operator: Our next question comes from the line of Don Crist with Johnson Rice.
Donald Crist: I just wanted to touch on the recertifications that you had in the first quarter. Obviously, had your cost up a little bit. Should we expect costs to come down a little bit in the second quarter since all that maintenance is now behind us, closer to that $125-or-so million run rate?
Erik Staffeldt: I would say, Don, my initial expectations, I think that a lot of the costs that flow through our P&L in the first quarter relate to operations. My expectation is that as we ramp up activity, our cost may actually increase as our revenue increases as well. But I'll gladly follow up afterwards on that one. But I don't think there's any significant decreases in cost that we are expecting. But we'll follow that -- follow up with that one.
Donald Crist: Okay. And just on the P&A work, I'm guessing that the Shell multiyear contract that y'all signed in the Gulf of Mexico was related at least somewhat towards P&A work. Can you talk just in generally about Gulf of Mexico P&A work? I know there's been some bankruptcies recently over the last couple of years, and that P&A work has been pushed back to other -- to operators that probably don't want it on their books anymore. Can you just talk about the environment and when you think that kind of timing may materialize over the next several years?
Erik Staffeldt: Don, I'll take the first part of it. I think the contract that we announced in the Gulf of Mexico with Shell is deepwater work. And that includes both a potential combination of P&A and Well Intervention or production enhancement. So I think that's the recent contract that we announced there. And of course, we do the work that we do with our Kenyan group as far as our recent contracts.  As far as the market goes, I think obviously watching very closely the developments there, but I'll pass it to Owen to talk more about what we see in that market.
Owen Kratz: Well, I think you have to sort of bifurcate the market right now between deep and shallow. The deep market is probably increasing as a result of greater regulatory pressure on producers, especially since they're very profitable now to start catching up and get ahead on their P&A work. Producers are also interested in reducing the ARO carried on their balance sheet, but that's the deep side. So that's -- I call that a modestly improving, increasing market.  Then on the shelf side, as you mentioned there, we've had a significant bankruptcy. A lot of properties are flowing back to the legacy owners. There's a lot of consternation in the market and a lot of discussion as to exactly how and when all of that gets cleaned up with a big emphasis from the regulatory bodies and in the interest of the legacy owners to have this cleaned up.  To that extent, I think there's going to be a big uptick in the shelf decommissioning market. And that's where I alluded to in my comments, we're exploring several opportunities for how we would best participate in that and expand our capabilities beyond deep to be able to be a meaningful player on the shelf as well.
Donald Crist: Okay. I appreciate all the color. I'll turn it back.
Operator: . Our next question comes from the line of Samantha Hoh with Evercore ICI.
Kay Hoh: I wanted to maybe drill into the three like business model that you outlined on. Specifically, how do you view the mix between these three longer-term? Is it going to be about equal parts of the three legs that you highlighted? Or do you think just Well Intervention really just dominate on that sort of maximizing thing reserve piece?
Owen Kratz: It's a good question. Right now, on the intervention side, our mix between maximizing remaining reserves and abandonment is about 50-50. I think we'll be seeing a greater growth rate on the P&A side. But then on the maximizing the reserves, I think there will come a time in the market where more Droshky events are possible. So that would mean that, that would play catch up when that occurred. So those two would be about even.  The wind segment is harder to predict. As I said, I think we're going to be open to the opportunities, but we're going to be selective and look to provide specialty support services. So to that extent, I can't really guess on what the timing would be of when those opportunities present themselves, but we're going to be taking a sort of a longer-term, more prudent approach to growing the wind side.
Kay Hoh: Okay. Great. And just adding that shallow water abandonment capability, do you guys need to actually invest in any equipment for that? I'm just kind of wondering if -- obviously, CapEx should fall next year just because of the maintenance level ship fall. But is there going to be growth CapEx going towards building up your shallow water capability?
Owen Kratz: Depending on the outcome of the opportunities we're looking at, it could require some capital.
Kay Hoh: Okay. And then lastly, I just kind of wanted to dig a little bit into your ability to raise day rates quite a feat there. and I'm just kind of wondering on the conversations that you're having. Is the customer buying in so that demand is rebounding or that you're kind of calling back concessions or maybe you're passing on higher costs? I'm just kind of wondering what type of conversations you're having with your customers to kind of argue for implementing day rates there?
Scott Sparks: Well, we've said that we are seeing increased day rates. The rates have increased significantly from 2021. They're improving as we go forward. We like to stay below rig rates and we're not going to be right behind rig rates. We offer different contracting mechanisms. But our clients are accepting that there's an increase in our costs, and therefore, there's an increase in our rates to the clients, and it's being well received so far.
Kay Hoh: Excellent. Congrats, guys.
Operator: . Our next question comes from the line of James Schumm with Cowen.
James Schumm: What would you guys need to see to begin a share repurchase program? And what do you think would be a reasonable time frame for that?
Owen Kratz: What we would need to see is a sustainable, meaningful free cash flow generation. And I think I'd be better able to give you a timing for that going into '23 because at that point, I would expect us to be meaningfully free cash flow positive.
Operator: . There are no further questions at this time.
Erik Staffeldt: Okay. Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our second quarter 2022 call in July. Thank you.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.